Operator: Good day everyone and welcome to the DTE Energy Second Quarter 2015 Earnings Release Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Anastasia Minor. Please go ahead.
Anastasia Minor: Thank you Heather, and good morning, everyone. Welcome to our second quarter 2015 earnings call. Before we get started, I would like to remind you to read the Safe Harbor statement on page two, including the reference to forward-looking statements. Our presentation also includes reference to operating earnings, which is the non-GAAP financial measure. Please refer to the reconciliation of GAAP net income to operating earnings provided in the appendix of today’s presentation. With us this morning is Peter Oleksiak, our Senior Vice President and CFO; Jeff Jewell, our Vice President and Controller, and Mark Rolling, our Vice President and Treasurer. We also have members of our management team with us to call on during the Q&A session. I would like to turn it over to Peter to start our call this morning.
Peter Oleksiak: Thanks Anastasia, good morning everyone and thank you for joining us today. As usual I like to start the call by giving a quick update on Detroit Tigers. Good news, the Tigers have won 47 games. Bad news is that they have lost 48. Despite the first half July weather here in Detroit area has been colder than normal; the Tigers have cooled off as well this month. We are hoping that the summer heats up, so do the Tiger bats and I’m still holding out some hope for a play-off berth. Unlike the Tigers here at DTE, we certainly have had a successful first half of the year, and I believe we are well positioned to continue the success in the balance of 2015. As all of you saw in our earnings release we are raising our 2015 EPS guidance on strong year-to-date results. Jeff and Mark will be going through the second quarter results in more detail, but before we move onto that, I’d like to do a quick overview of our business strategy as well as some highlights what’s happening at DTE and Michigan. Slide five provides an overview of our business strategy, and investment thesis. Our growth plans for the next 10 years at both utilities are highly visible. Our electric utility growth is driven by environmental spend in the near-term and renewal of our generation fleet and upgrading the distribution system in the longer term. Our gas utility growth is driven by infrastructure investments and the main line pipe replacement. Our two utilities are deploying capital in very -- in a constructive regulatory environment and we’re working hard to earn this constructive environment every day. I’ll be updating you on some of the regulatory proceedings our utilities are currently working through. Complementing our utility growth, our meaningful growth opportunities and our non-utility businesses which provides diversity in earnings and geography. Our highly engaged workforce continues to be the key to our success. Last quarter I told you about the third consecutive Gallup Great Workplace Award and just recently DTE Energy received the Development by Design Award from the Gallup organization. The award recognized DTEs focus on creating personnel team and organizational success through employee training programs. So we definitely continue to make strides in our employee engagement efforts. We have a strong focus on continuous improvement and feel we are distinctive in the industry on our approach and outcomes. The combination of these two employee engagement and continuous improvement enables us to deliver both sustainable cost, savings track record and to consistently earn authorised returns at both of our utilities. We are also very focussed on operational excellence and customer satisfaction that we believe also are distinctive in our industry. We have certainly seen positive results on this front, as currently DTE gas is ranked highest by J.D. Power among our peers for residential and business customer satisfaction. And earlier this month, we found out that DTE Electric was ranked second in overall customer satisfaction with electric utility residential customers in J.D. Power’s 2015 study. Our dividend continues to grow as we grow earnings and the goal is to maintain a strong BBB credit rating. This strategy provides about consistent 5% to 6% annual EPS growth. Slide six provides some highlights of progress in 2015. First in our list is the announcement they will be increasing our operating EPS guidance for this year. We are increasing from an EPS midpoint of 460 to a midpoint of 472; this is driven by a strong performance in our gas storage and pipeline business as well as their energy trading operations. I’ll provide a more detailed overview of guidance in a few minutes. Keeping in line with our commitment to grow our dividend with earnings we have recently increased our dividend. Our annual dividend per share was increased from $2.76 to $2.92 which is a 5.8% increase. Regarding Michigan’s Energy policy, I feel there is positive momentum for the constructive legislation by the end of the year. This continues to be a priority of the Governor when he called up publicly the need to get legislation done this year. Back in March, representative Aric Nesbitt introduced legislation and recently the Senate lead, Mike Nofs introduced legislation but the process is definitely moving along. I’ll touch more on the Energy Policy in a few minutes. I also want to give a quick update on the various rate proceedings for our two utilities. Our electric utilities self up [Indiscernible] rates on July 1 for the ongoing general rate proceeding. We expect to receive a final order by the end of the year. We also implemented our new cost of service rates which resulted in a rate reductions for many of our business customers. For DTE Gas, we expect to receive an order this year for our expanded infrastructure recovery mechanism that, if approved will allow us to double our annual miles of our main line replacement program. We continue to make significant progress in our non-utility businesses. In our gas stores and pipeline business, Millennium had a successful open season and we are working through final contracts now. We expect an expansion of greater than 0.2 BCF. In addition, we are constructing a new eight mile lateral off Millennium to serve a proposed 650 megawatts combined cycle plant with approximately a 0.1/b day of natural gas. These projects are expected to be in service in the fourth quarter of 2017. This is another major milestone that helps firm our future year growth. The next is pipeline project. It is always moving forward nicely towards its fourth quarter 2017 in service date. The first FERC scoping meetings are complete and were relatively routine. We recently signed a number of Tampa Interconnection agreements that could provide potential aggregate load across northern Ohio upto 1.3 BCF per day. This demonstrates strong market support for the project and also strengthens the longer term earnings potential for the play. We filed our resource reports in June with a focussed schedule, and our next major milestone will be to file the FERC application in the fourth quarter of this year. We are also now very focussed on optimizing our reduced emissions fuel business. Currently we have REF facilities operating at eight sites and are in a process of relocating underutilized facilities to a ninth site, which should be operational in the fourth quarter. In addition, in this quarter we are operating a third party REF facility. This operating agreement runs -- will run through 2020. We continue to work towards further optimization of this business line as this has been a great return business for us which has generated significant cash flows to help fund our non utility growth projects. So you can see, we’ve had a successful first half of the year giving us confidence to reach our earnings goal in 2015. Let me now move to updates in the Michigan improvements and the economy. Turning to slide seven, we are highlighting the progress the Michigan and the City of Detroit are making. I know many of you are interested in how the local economy is doing and we continue to see economic momentum in the state. Michigan’s unemployment rate in June is 5.5% and this rate has been around 5.5% the last three months roughly in line with the national average. Michigan’s unemployment rate hasn’t been at this level since 2001. Michigan is identified by the Site Selection magazine that been the seventh most competitive state for job creation as well as the number one state for new manufacturing jobs since 2009. We continue to see and the other economic indicators including increases in residential customer and business customer accounts and our forecast shows this trend continuing. I do want to highlight the city of Detroit’s economic progress. One indicator that we show on this slide is the Detroit’s Metro area, its’ ranking number eight in the U.S. for a number of new or expansion projects. The City has come a long way since the bankruptcy and with a strong leadership we have in place I’m confident that the city will continue to move forward. DTE as well as other city partners are working with them to help continue this momentum. You will see on slide eight that the additional changes in state have taken place as the Michigan Public Service Commission has welcomed Norm Saari as the new commissioner replacing outgoing Commissioner Greg White whose term has ended. Commissioner Saari has a deep background in public policy and governmental and community affairs, both in state government and direct utility experience. This is Governor’s Synder third appointment and the Governor has been great at talent selection. The Commission has held Michigan regulatory environment Q1 the most constructive in the country. We believe, that Commissioner Saari will continue this supportive environment. Moving onto slide nine, I’m now going to turn to an update on the energy policy. We have mentioned earlier, Governor Snyder has made it clear that energy policy is an important legislative priority for him this year. He called off the need for legislation in his state address and provided more detailed goals in his energy message in March, highlighting this significant transformation and the generation sources that our state will undertake over the next 10 to 15 years. And over the last few months, both the House and the Senate and Energy leaderships had introduced proposed legislation to address needed changes in the state. Representative, Aric Nesbitt, who chairs the House Energy Policy Committee introduced legislation in March that’s consistent with the Governor’s goals of reliability and adaptability. He also recommended the elimination of the retail access program we have here in Michigan which we support. Senator, Mike Nofs, who chairs the Senate Energy and Technology Committee, introduced legislation in June which is also similar to the Governor’s goals. He is recommending to maintain a 10% gap on a retail open access, but with a onetime election to enter into long term capacity commitment with an alternative supplier or to return to the utility. A customer could choose the return of the utility with three year notice and as the one time permanent election to return to the utility. We expect legislation to be completed this year and we are confident that Michigan has strong leaders in place that understand energy and utility dynamics and will provide constructive legislation for Michigan’s future. All of the proposals on that legislative joint board represent a positive move forward. In a moment, I’ll turn the call over to Jeff to review the quarter’s results, but before that I want to highlight, provide some highlights of our outlook and guidance increase. On slide 10, this slide shows our EPS history with our target of 5% to 6% growth. As I mentioned before, we expect to grow our dividend with earnings evidenced by our recent increase. The chart shows a revised 2015 guidance midpoint of $4.72 as well as our EPS guidance midpoint of $4.66 for growth segments. The 5% to 6% future growth that I mentioned is of a new guidance growth segment -- point of $4.66 per share. And our commitment is to grow both earnings and our dividends and we are just doing that. Let me get into a little more detail on page 11. We are increasing our 2015 EPS guidance range to $4.54 to $4.90 for DTE Energy. This is a $0.12 increase in the midpoint from our prior range of $4.48 to $4.72. Our EPS guidance range for growth segments is now $4.54 to $4.78. Our guidance increase is driven by strong start of the year in our gas stores and pipeline segment with increased pipeline and gathering earnings. 2015 operating earnings guidance for this segment has increased from a range of $80 million to $88 million to a range of $90 million to $98 million. The majority of this increase is due to strong underlying performance in the business and therefore we expect the majority of this favourability to flow into 2016. For Energy trading business, we’ve raised our guidance, earnings guidance to a range of 0 to $20 million for 2015. Energy Trading is now part of our growth segments and our original guidance is set at zero as we do not rely on this business to achieve our earnings target. As this year is progressing we are recognizing the strong economic performance and have adjusted our 2015 guidance accordingly. Trading does have seasonality tied to the physical part of its business and those contracts may mostly make money in the first and fourth quarter. And with that, I’d like to turn the call over to Jeff Jewell, our Vice President and Controller to provide more details on the second quarter earnings results.
Jeff Jewell: Thanks, Peter and good morning, everyone. I will be discussing quarter to quarter earnings results on page 13 and on page 14; I will review our electric sales in order to provide more insight into what we are experiencing. Now turning to page 13. For the quarter, DTE Energy’s operating earnings were $137 million or $0.76 per share and for reference our reported earnings were $0.61 per share. You can find a reconciliation of the second quarter reported operating earnings on slide 26. For the quarter-over-quarter results, our growth segments second quarter operating earnings in 2015 were lower by $4million or $0.03 per share. The electric segment was lower by $18 million. This was primarily due to increased costs associated with rate base growth cost and unfavourable weather partially offset by lower O&M. The gas segment was lower by $3 million, driven by unfavourable weather in the second quarter of 2015. Gas Storage & Pipelines earnings were $7 million above the prior year. This increase was primarily due the volume growth in the Bluestone Pipeline and Gathering Assets. Our power and industrial project segment was up $5 million versus 2014. Quarter-over-quarter favourability was primarily driven by strong performance across the business line. Our corporate and other segment came in favorable by $5 million versus last year. This variance is mainly due tax related timing differences. The overall growth segment results for the quarter were $134 million or $0.75 per share. At energy trading, operating results for the quarter came in at a positive $3 million with economic net income of $19 million, both the power and the gas business lines contributed to these results. Please refer to page 24 of the appendix to review the energy trading standard reconciliation page, which shows both economic and accounting performance. Now let’s turn to page 14 to discuss our electric sales results. For the first half of the year, temperature normalized electric sales were down 0.7%. We are very encouraged by the drivers of this change year-to-date and for the future. This net change reflects both the underlying economic growth in all sectors and that energy efficiency is making positive impacts to reduce customer average usage. The economic increases are being driven by population growth, occupancy rate strength, income growth and manufacturing at auto production levels that have surpassed pre recession levels. Energy efficiency which is producing positive results for our customers is a key component of our overall operational and financial plans and a key priority for the Governor. This efficiency translates into reductions in the average energy bill for our residential customers, which is one of the key components of our long term strategy to create affordability headroom as we embark on a very intensive capital investment program. Therefore we are changing our sales forecast as we anticipate our load growth over the next few years to be close to flat as underlying economic growth and energy efficiency play off. That concludes the update on our earnings and sales for the quarter. I’d like to now turn the discussion over to Mark, who will cover cash flow and balance sheet metrics.
Mark Rolling: Thanks, Jeff and good morning to everyone on the call. In addition to the solid earnings results that Jeff just described, we delivered solid cash flow and capital investments for the first half of the year as well. And all of that is underpinned by the strength of our balance sheet Slide 16 lays out our cash flows and CapEx through the first half of the year. Cash from operations is $1.2 billion which is up slightly over last year and in line with our plan. We saw a strong cash flow performance throughout all the business units and are reaffirming our full year cash from operations guidance of $1.7 billion. We invested $1.1 billion of CapEx in the first half of the year, and on the right side of the page you can see the breakout by business unit. DTE Electric is higher due primarily to the acquisition of the gas peaker back in the first quarter, partially offset by the timing of wind investments between years. And there are some year-over-year timing differences at our nine utility businesses as well. The total year-to-date CapEx is on check with our plan and consistent with our full year guidance of $2.5 billion to $2.6 billion. Finally, to fund this CapEx program and to pay down commercial paper balances, we issued $800 million in loan from debt financing in the first half of the year. Now I’ll move to slide 17 with a look at our balance sheet metrics. In short, our balance sheet remains strong and we project ending the year within our targeted range for both leverage and FFO to debt. We issued $200 million of equity back in the first quarter which fulfilled our equity needs for the year. And there is no change in our plans to issue $800 million to $900 million of new equity through 2017. We continue to take advantage of the low interest rates by issuing $300 million of 7-year debt to parent company which is where we fund most investments at our nine utilities. Earlier in the quarter, we met with the rating agencies and they all re-affirmed our current ratings and outlook which demonstrates our commitment to maintaining a strong BBB credit rating. And lastly, after renewing our credit facility back in April we ended the second quarter with a comfortable $2.2 billion of available liquidity. And now, I’ll hand the discussion back over to Peter to wrap up.
Peter Oleksiak: Thanks Mark. Let me finish the presentation with a quick summary on slide 19 and then we can open the line for questions. We had a very good quarter as well in the first half of the year and we are confident that this year’s performance will allow us to achieve a increased 2015 EPS guidance, increase our annual dividend 5.8% to $2.90 per share keeping our dividend growth in line with earnings. We anticipate successful outcomes this year for both our utility regulatory filings as well as Michigan Energy’s policy reform. Our balance sheet and cash flow metrics remain strong, and our investments in our utility and non-utility businesses support our target 5% to 6% EPS growth going forward. I’d like to thank you all for joining our call this morning. And I invite you to join us for our Investor meeting in Detroit on September 28. We have a great line up of speakers for our meeting, and plan to give you insight and to continue the evolution of the Michigan Detroit development and the economic growth that supports our long term plan. Formal invitations will be delivered in the coming weeks and our business update will be available at the webcast from our investor’s site. Now I’d like to open it up for any questions that you have, so Heather, you can open up the line for questions.
Operator: Certainly. [Operator Instructions] And we’ll take our first question from Michael Weinstein with UBS.
Julien DuMoulin-Smith: Hi, good morning it’s Julien.
Peter Oleksiak: Good morning, Julien.
Julien DuMoulin-Smith: So first, a quick question here on the sale side. Just curious what is the nature of the idling you have alluded to here on the Industrial side just perhaps if you could expand upon what your expectations are there? And then perhaps related to that on the -- in terms of future rate case filings, how are your expectations for lower sales and efficiency driving expectations there as any changes?
Peter Oleksiak: So on the – for the idling that occurs mainly in our automotive related segments. There are model turnover, so they are creating brand new vehicles and new models and you’ll see that from time to time. That is really what that’s related -- that is really one time in nature and some as if -- that the level of new models that are -- which is great news for our auto companies that are being produced here. For the energy efficiency, I guess, first I just want to talk about that a little bit. We’re really pleased with the level of energy efficiency in our service territory. And we’ve been really working hard at this over the last five years and I believe we are on the leading edge of some our some [Indiscernible] energy efficiency is special in delivering tools to our customers to save energy. You recall if you actually saw the March energy addresses the Governor gave, he actually held up his Smartphone and have the DTE inside app there. So we’ve actually kind of correct the code of our AMI technology and how do we deliver that real time to our customers to use yourself. Even though energy efficiency increases, maybe over time the electric rate overtime but it does lower customer bills, which provides headroom for rate increases needed to cover new capital investments. So, I know your question Julien was what does that do from our rate case strategy? Our rate case timing really tied to the capital investment we have over and above depreciation, so that’s really going to be tied. It really doesn’t impact the timing of that. And what we are seeing actually when -- that it will provide headroom for us from a total customer ball perspective to give recovery of that new capital investment.
Julien DuMoulin-Smith: Excellent. And just turning to the midstream side quickly. Can you talk about an update on your existing partnerships, specifically on the exit side? And then separately just broadly speaking, strategy as it relates to gathering versus perhaps pipes, etcetera, you have other partnerships and there as well. I would be curious how that is evolving and the nature of the business?
Peter Oleksiak: Yes on the ownership side and I know the private question is around on the Enbridge and the ownership of pipe. So Enbridge is still considering ownership, but they have been very public and very supportive of the pipe. You know our current disclosure assumes the one third ownership, so they don’t participate in whatever larger ownership of a great project. So they are still in the process of considering ownership in the project. On the gathering side and is evidenced by this year-to-date results and our guidance increase and we’re seeing great results on our gathering business. This is a business that we started in 2012 with a partnership with Southwest energy, so as we’ve been going down our learning curve and cost curve it’s really helped us with that relationship and that’s a business that we liked as well because as we get into new projects like Nexus the idea there is to do a very similar blueprint of what we’re seeing in Millennium now that if you work with producers, get gathering and laterals, that will beat international. So we’ve continued to look at those opportunities and then I do believe in the future they will be there for us related to NEXUS.
Julien DuMoulin-Smith: Excellent. And sorry, just a clarification. In terms of Enbridge's timeline for a decision, do you have any sense?
Peter Oleksiak: Yes. I really don’t – I know they’ve been public about it. They are mainly an oil based company, an oil pipe, but they are trying to grow their gas piece of the business and they’ve been public around that. But I would imagine they’re going through that process right now and they probably want to maybe making a decision at some point.
Julien DuMoulin-Smith: All right. Well, thank you very much. Congrats again.
Peter Oleksiak: Thank you.
Operator: We’ll take our next question from Dan Eggers with Credit Suisse.
Dan Eggers: Hey, good morning, guys.
Peter Oleksiak: Good morning, Dan.
Dan Eggers: On the guidance bump for the quarter and kind of resetting the baseline going forward, what structure are you seeing is giving you more confidence to lift the starting point for growth from here?
Peter Oleksiak: Yes. On the midstream we are seeing and mainly within the gathering segment and the drilling related to Southwestern. So what we saw in the first half is that there is some upside. Some of this was acceleration of drilling which is positive as well, because Southwestern is allocating our capital and drilling to this region even with the relatively low gas price environment, most of the increase is tied to the higher well performance. That oil performance in volumes will continue to flow. So that is a permanent increase for us. And the great thing about this and this is where we talk about our strategies of having these interconnect assets that it really amplifies income. So we’re seeing those volume increases then occur on Bluestone then occurs on the Millennium Pipeline as well. So we’re feeling really comfortable with those volume increases that are tied to the well performance there.
Dan Eggers: So that step-up is what is giving you confidence in the sustainability, it is not an assumption of sustained higher trading value?
Peter Oleksiak: No, no. That’s tied to our midstream segment.
Dan Eggers: Okay. Got it. And then how should we think about what you guys are going to do to be able to earn your ROEs at electric given this lower demand growth or the flat demand growth outlook between rate case periods?
Peter Oleksiak: We will be planning that, so some of that is that we have a forecast that test year here. So we are forecasting and we’ll continue forecast energy efficiency. One of the things we’re looking at right now from a load perspective is that we are anticipating a flat load at this point in time. At one point in time we were anticipating probably 0.5% type of increase, but once again we’re pleased with the results as we’ve been really focus on energy efficiency, so we have upped our energy efficiency. And if you look at the legislation, that is proposed in the governors -- his areas of priority, energy efficiency is going to be a key component as we think to our generation planning and our integrated resource planning process. So we’ll continue to forecast, so we really is getting the right dominator.
Dan Eggers: Just one more, sorry Peter, go ahead.
Peter Oleksiak: I guess the supplement that we have proven track record around cost management as well, but something it will continue to [Indiscernible] between rate proceedings as well.
Dan Eggers: Okay. And then I guess just one more on the NEXUS side. Can you walk through what you are seeing, quantifying the gathering opportunities, how much capital can go into that? And what is the level of interest for incremental projects you are hearing from customers at this point?
Peter Oleksiak: Yes. It’s far too early to say what the capital plans will be, but we do see they are out there. There was a recent report that came out that the Utica region reserve forecast has gone up again. So every forecast that’s come out on the Utica Shale it goes higher and higher, so we know that there will be there. And as we’re proving out our gathering business plan in Southwestern that’s really helping us as we’re talking to producers in the region as well. But its too early to say, but I would say that there is a lot of opportunity there and will help as you think through the midstream segment not only in this five-year projection we provided there, but beyond that five-year period gathering will be a piece of that.
Dan Eggers: Got it. Thank you, guys.
Operator: We’ll take our next question from Shahriar Pourreza of Guggenheim Partners.
Shahriar Pourreza: Just on the Enbridge ownership stake in NEXUS, is there a point when DTE makes a strategic decision to take on the additional ownership? So like the Enbridge ownership has been open for some time, is there sort of a deadline that you have internally within the Company?
Peter Oleksiak: We don’t really have a firm deadline with them and as I mentioned we like them when they are in, if they are in the project and if they’re not. So, its something that we don’t -- we’re not really pushing at this point in time from a – if they’re not in the project we have a larger percent ownership of a great pipe. If they are in the project, it does from a strategic perspective they have ownership interest in Vector and they have demand that’s off takes on the backend with their LDC, it helps from a long-term strategic perspective, but there is no firm deadline at this point in time for them.
Shahriar Pourreza: Got it. And then as you approach year end with the Open Access Policy, any idea how it’s going to shake out with obviously three different competing proposals?
Peter Oleksiak: Actually I would characterize the proposals as complementary and they are all focusing on the same thing. So, all the proposals on the table are really aimed at eliminating – there are two major flaws we have right now with the retail access program in Michigan, one of them is free option to move back and forth on utility to retail open access backed utilities, so all of the proposals address that. There is either one-time election to the utility if you’re going out on to the market you need some type of capacity. The range right now is 3 to 5 years in the proposals. The capacity does address the second flaw we have which is there is a heavy subsidization that’s happening right now with our bundled customers to retail open access. So really does have put in more level fair playing field around that as well. So the economics with the customers on retail access will change and because of they really get into more of the true cost are being on the program. And this permanent, more permanent type of election as well will impact the decision. So it’s really too early to know how much of the 900 megawatts will come back. And if there’s election too come back you know the timing of that return will be tied to individual contracts with those customers.
Shahriar Pourreza: Got it, got it. And just one last question on the guidance in Energy Trading, it looks like the top end of the guidance assumes an additional $5 million in earnings. Could we -- is it fair to assume that is sort of a fourth quarter recognition just given the way the segment recognizes earnings historically?
Peter Oleksiak: Yes. I would say that, you actually -- from time to time you may experience even a slight loss in the third quarter, because lot of contracts and earnings are tied not to physical fields with gas and power delivery in the first and fourth quartet.
Shahriar Pourreza: Excellent. Congrats. Thanks
Operator: We’ll take our next question from Greg Gordon of Evercore ISI.
Greg Gordon: Thanks. I have a question with regard to gas service area sales. If you look at the Q2, 2015 numbers versus Q2, 2014 numbers, you had a really big negative swing in residential, commercial, industrial, but then a very positive comp on end user transportation. Is the former just weather driven and what’s the latter being driven by?
Peter Oleksiak: Jeff, do you want to handle that one.
Jeff Jewell: Yes. That’s exactly what we’re seeing. It’s just a combination of -- from the weather, obviously the weather is what driving the quarter over quarter, year-over-year and in the end trend [ph] forward to seeing more volume on that front just from additional load in those things.
Greg Gordon: Okay. That was my only question. Thank you.
Peter Oleksiak: Thanks, Greg.
Operator: We’ll take our next question from Matt Tucker with KeyBanc.
Matt Tucker: Hey, guys. Good morning. Just noticed with the revised guidance that you widened the range a little bit, can you just talk about the key sensitivities you had in the second half and what kind of gets you to the high or low end of the range?
Peter Oleksiak: Yes. The widening of range, a lot of that is tied with the energy trading segment, now that we do have a range for that, so that’s really what that you tie there. The key sensitivities, for us just continued strong performance. On the utilities, a lot of that will be tied to what’s happening on the weather fronts and then the weather would be load as well as storm related activities. The gas utility as well, there is fourth quarter heating load, some variability that will occur there as well, so the utilities, a lot of it at this point in time is tied to weather and weather-related type of income. In our non-utilities just continued strong performance. For our midstream segment we have upped guidance for that segment, so we’re comfortable now with that range for our Power and Industrial segment that you look at it from a year to-date perspective. They are roughly $50 million with the top end of guidance at 100, so they continue the performance. We’ve seen in the first half, they potentially could be near the upper end of guidance for that segment.
Matt Tucker: Got it, thanks. And just a follow up to that. I guess we’re about three weeks into July. How has the weather been I guess so far this quarter? And were you able to factor that into the guidance?
Jeff Jewell: Yes. We factor that into the guidance. And so far the first half like Peter mentioned in his opening comments, the first part of July was a little cooler, but then so far here in the last week or so its been above and so we’ll just see how that plays out, but yes, all that’s been contemplated in our guidance.
Matt Tucker: Thanks. And then just on the lower load growth expectations going forward, you’ve kind of addressed this, but just big picture, how does that affect your long-term expectations? And does it affect your earnings guidance for DTE Electric, the long-term earnings guidance you’ve provided and are there kind of offsets that we should be considering?
Peter Oleksiak: Now there’s no impact at all to the earnings guidance for the utility. The utility business at this point and where the money and earnings are tied to with the new capital investment. Power generation replacement strategy we talked about that was on the coal retirement, but also our distribution company. We’re going through a big replacement in upgrading plan. We’re going to sharing some that at our Analyst Day here in September as well. So the flat load for us and we are relatively modest even to begin with prior to this new change of 0.5% and one thing we’re looking at right now is, and the metric we’re really going to moving towards the total bill. What’s happening with your total bill? The way it works for customers is -- this is power supply cost that is a past-through that goes away when the usage is down, right. We have a base rate increase tied to the distribution investment and charges. The customers are experience decreases in the total bills even when rates are increasing, if their usage is down.
Matt Tucker: And if I could just ask one more. How confident are you that there will be energy policy legislation this year? And are there any kind of key dates we should be thinking about?
Peter Oleksiak: That combination can be with a political process, but I know the governor has been pretty strong around signaling. He wanted to be done by the end of the year, even recently Senator Nofs has been out there publicly saying he wants it done by the end of the year. They are – so all the signals and momentum is for this to get done at this year.
Matt Tucker: Thanks a lot. That’s all from me.
Peter Oleksiak: Thanks, Matt.
Operator: We’ll take our next question from Andrew Weisel with Macquarie Capital.
Andrew Weisel: Hey, good morning everyone.
Peter Oleksiak: Good morning, Andrew.
Andrew Weisel: First question on retail open access. You touched on this, but I want to ask in a slightly different way. If we take the Nofs proposal at face value, I am sure things will change. But if it were exactly as written, how much of the load do you think would come back and how quickly?
Peter Oleksiak: It’s really too early to determine from the details of that. I would imagine for him, he did have – you need to – if you’re going to stay on the program, first of all there’s an election. If you take the election back to utility its one time, so that is this free option going away, we’ll probably have some of the retail open access customers take a pause and wanted to – whether they return or not. And if they do stay in the program, they’re going to have to get capacity and Nofs proposal I believe was that from a three-year perspective. So each customer has individual economics and the changes through economics. That and coupled with market prices and our sense is that market prices will be increasing as supply, demand and supply tightens as well. So that’s really I guess round about, Andrew, it’s really too early to say. I can say I would imagine some of the 500 [ph] megawatts, but probably would be coming back given the changes, the structural changes that will be occurring with all the proposals that are out there. And the timing of that, it could be relatively quick, but lot of that will be tied to the individual contracts with these retail open access customers.
Andrew Weisel: And how long do those contracts typically run?
Peter Oleksiak: We don’t really have insight into that.
Andrew Weisel: Okay. Fair enough. Next question is on energy efficiency. The new expectations you have for load growth, is that based on the -- again the Nofs proposal, or is that some other DTE view of what energy efficiency programs will look like going forward?
Peter Oleksiak: It is the DTE Energy forecast. Some of that is -- we’ve been working hard at this for five years as I mentioned. In many ways I think, in many cases I said, we’re leading edge. So it is realizing the adoption of these energy efficiency programs. They are occurring even faster which is great for us and our customers. So it really tied to what we’re seeing there and the projecting of that going forward. Now both, the Nofs and the Nesbitt [ph] proposals versus having a mandate kind of working that and integrating that part of the integrated resource planning process. And the governors that’s really public around energy efficiency. That’s going to be part of our generation planning, will be what level will be covered off and energy efficiency. And as you know even the clean power plan, the EPA requirements gives you credit for energy efficiency.
Andrew Weisel: Okay, great. Then lastly, I know decoupling is something -- electric decoupling is something being floated in these proposal legislations. What are your views on that? And in light of what we just talked about with the load growth forecast, would your preference be for full decoupling or something only for energy efficiency?
Peter Oleksiak: We will work through those details, but I can say broadly that we are supportive of energy decoupling.
Andrew Weisel: Fully or partially?
Peter Oleksiak: We’re still working through that. I’d say that this first I think we’re having some it is as we’re thinking through there’s probably merits to both either one of those different proposals.
Andrew Weisel: Okay. Thank you very much.
Operator: [Operator Instructions] We’ll take our next question from Steve Fleishman with Wolfe Research.
Steve Fleishman: Yes. Hi, good morning. Just one other question on the Gas Storage and Pipelines upside. So, you guys typically give kind of like a five-year look on these businesses, and I know you mentioned you expect this to continue into 2016. All else equals, is this something that you see as kind of benefiting the five-year look?
Peter Oleksiak: Yes. It definitely helps. I would say firm up that five-year projection.
Steve Fleishman: Okay. When you say firm up, it was still that little bit of -- I guess it was the white part or whatever in the bar chart. Is that what you mean by that?
Peter Oleksiak: We are still going – we’re in the midst right now where our longer term planning process, we’ll be providing an update at our Analyst Meeting.
Steve Fleishman: Okay. And then I know going to the P&I business, I think in some meetings we’ve had, you have talked about co-generation being maybe a potential growth area. Any updates on opportunities there?
Peter Oleksiak: No, it really is --we do see if you think through the opportunities set there -- this cogeneration is one, so we continue to work through those opportunities. There are some projects we have in place right now and are getting into service. They’re probably not a lot of updates since the last meeting but we continue to be optimistic on this side and getting the projects for this segment to grow as we indicate in terms of this five-year growth prospects.
Steve Fleishman: Okay. Thank you.
Peter Oleksiak: Thanks, Steve.
Operator: We’ll take our next question from Paul Patterson with Glenrock Associates.
Paul Patterson: Good morning.
Peter Oleksiak: Good morning, Paul.
Paul Patterson: Just a few quick ones following up on the energy efficiency. With the flat growth, how much of this is based on sort of your efforts at energy efficiency? In other words, if we were to take out your efforts of energy efficiency, what would you guys estimate the impact of sales growth to be?
Peter Oleksiak: Yes. Without the energy efficiency, it is roughly about -- Jeff, you’d said, about a 0.5%
Jeff Jewell: Yes.
Peter Oleksiak: We look through and what we’re doing right now. We are in the new era right now with this energy efficiency, because historically you look at your load growth tied directly to economic activity. So we still look at that, but now with the energy efficiency that’s after that. So our customer counts are increasing, so that’s one thing we look at and the overall level activities within the businesses is really the usage that defining [ph].
Paul Patterson: Do you see any difference between an IRP versus the mandate in driving energy efficiency going forward? Those have been two differences in legislations.
Peter Oleksiak: I would say no, because the IRP really that’s going to be like one-stop shop for us. Right now, really the movement is potentially away from these mandates where we have a mandate for RPS or mandate for energy efficiency which is all tied to generation-related spend to have it in one place. So in that IRP process they will discussions and agreements on energy efficiency as well as renewable spend. So I would say it doesn’t, it’s really just change the location of where the discussions and the process for the discussions will be occurring.
Paul Patterson: Is there any -- of all the proposals and the legislation that you guys outlined very nicely in the presentation, is there any one that we should think of as being a significant difference in terms of what your earnings outlook would be or would change the -- where you would be in the range if you [Indiscernible]?
Peter Oleksiak: I think they are all are relatively close.
Paul Patterson: Okay.
Peter Oleksiak: Aric Nesbitt has the elimination of retail open access program. We support that the most. But all the proposals are addressing. And probably the one area that I think we’re focus on as you are as well as the retail open access but all the proposals address the unfairness of the current program.
Paul Patterson: Okay. And then with NEXUS there have been some suits associated with access for surveying purposes and what have you. Is there -- are those significant events? Or I mean, they seem to be happening in local courts. Are these sort of run of the mill stuff or is there…?
Peter Oleksiak: It is. I think the FERC community meetings and that process is really going well, and so we feel pretty good -- really good about that process and it was relatively routine. A lot of that is really determining the final path of the pipe, so those meetings are necessary and as we finalize that path, it definitely help us as we drive towards our fourth quarter application filing.
Paul Patterson: Okay. And then just on the Gas Storage and Pipelines, it sounds like you guys were having a very good 2015 but that it may be a little bit of a slowdown in 2016. I don't know if I heard that correctly. Could you just elaborate that? That was in your prepared remarks. I just wanted to understand what the outlook is going forward with Gas Storage and Pipelines?
Peter Oleksiak: It is and what I have indicated is that we’re seeing the first half of the year increase in our gathering and pipeline business that a majority of that will flow through. Some of that is acceleration of drilling which is also positive to the Southwest and is really resourcing and allocating drilling resources here in the region. But we have our new growth segment, our EPS midpoint we are now saying we’re going to grow 5% to 6% off of that, so we…
Paul Patterson: Okay. Okay, so although -- so in other words, generally speaking obviously you guys feel very confident in raising your guidance and also your growth rate. And we shouldn't think about anything I guess materially sort of dragging -- in other words it doesn't seem like -- you are not pulling anything from 2016 into 2015 that is going to affect your long-term growth rate, is that the way to think about it?
Peter Oleksiak: Yes. The growth rate is off our new growth segment guidance midpoint. So as we took a look at that 2016 and what we’re seeing here in the midstream segment as overall what was happening in the businesses and we were feeling comfortable and confident of not only raising the midpoint of guidance this year, but saying their 5% to 6% will be on that new growth segment.
Paul Patterson: Okay, great. I appreciate it. Thanks a lot.
Operator: And it appears there are no further questions at this time. I’ll turn it back over to our speakers for any additional for closing remarks.
Peter Oleksiak: Once again, I’d like to thank everybody for joining us on the call today. And if you all could say – and I’m trying to root on my Tigers a little bit, I would appreciate that. And also want to once again remind you on September 28 we have our event here in Detroit. So if you can kind of save that date, and look forward to seeing you there. Have a good day.
Operator: That does conclude today’s conference. Thank you for your participation.